Operator: Greetings and welcome to the iMedia Brands Fourth Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Tim Peterman, Chief Executive Officer for iMedia Brands. Thank you. You may begin.
Tim Peterman: Good morning everyone and thank you for joining. This is Tim Peterman, iMedia Brands CEO. Before I go into my prepared remarks I would like to cover a few housekeeping items. We issued our Q4 earnings release earlier this morning as well as a release regarding the signing of definitive agreements for our recent $4 million equity financing transaction. If you do not have a copy these, you may access it through the News section of our IR website at imediabrands.com. These releases are also exhibits to Form 8-Ks, which were filed this morning and can be accessed through our website. I would also like to remind everyone that this call will be available for replay through April 29th starting at 11:30 A.M. Eastern today. A webcast replay will also be available via the link provided in today’s press release, as well as on the Investor Relations section of our website. Some of the statements that we make during this call are considered forward-looking and are subject to significant risks and uncertainties. These statements reflect our expectations about future operating and financial performance and speak only as of today’s date. We undertake no obligation to update or revise these forward-looking statements for any reason. We believe the expectations reflected in our forward-looking statements are reasonable, but give no assurance such expectations or any of our forward-looking statements will prove to be correct. For additional information, please refer to the Safe Harbor statement in today’s earnings release and our SEC filings. Finally, we will make references to non-GAAP measures on this call such as adjusted EBITDA. The information required to be disclosed about these measures, including reconciliations to the most comparable GAAP measures, are included within our earnings release. With these housekeeping items now complete.  First and foremost, in terms of the COVID-19 situation and these uncertain and stressful times, iMedia continues to be focused on taking every necessary step to keep its employees, vendors, customers, guests, and their families safe. We are also focused on continuing to provide our customers with the products and services they love, and we feel very fortunate as a company to remain operational and relevant as we continue to build value for our shareholders. There are many important updates I would like to cover today from our Q4 viewership successes, our Q4 challenging revenue performance, our strategic acquisitions of Float Left Interactive and J.W. Hulme to our timely strengthening of our liquidity resulting from the $4 million equity financing transaction announced today.  So let's get started. In Q4, our customers enjoyed a new innovative programming calendar that included strong performances from our biggest brands like Invicta Watches, Consult Beaute and Health, Mackenzie-Childs Home, Victoria Wieck Jewelry, Waterford and ISOMERS Beauty. We also debuted strong premieres in the quarter, like Heather Dubrow's Closet, Bear Creek Cattle Steaks, GreenMD Beauty, House of Caspara Bath and Body, and new weekly fashion static shows, fashion talk and wake up in style. With these vibrant collections of brands, products, and guests and not to mention our amazing hosts like Heather Hall and Kendi Kloepfer ShopHQ was able to achieve a milestone in Q4 that it had not been able to accomplish in the previous five years.  In November, ShopHQ was finally able to flatten its five year plus monthly decline in viewership. This achievement was also driven by ShopHQ's introduction of a static programming calendar, the first time ever for our network. What I mean by static is that static shows will air with the same host at the same time each week. This is important because it provides our customers a reliable and predictable schedule so they can form viewing habits. It also allows our marketing teams the ability to promote to actual date and times. In this business of television retailing, although viewership is not the same as revenue, viewership is an early indicator for future revenue opportunity because customers in this industry tune in and watch for a while before they actually start to buy. From a Q4 revenue perspective, it was a mixed report card, although in November we did achieve strong viewership success critical for future quarters and in December, we successfully reversed a five year plus decline in the watch categories 12 month customer file by offering a higher percentage of lower price point watches to capture new customers. We still faced revenue pressures related to the consequences of our company's reduced merchandise planning that occurred in Q1 of 2019 for our longer lead businesses of home and fashion.  As we successfully accomplished in both Q2 and Q3 to overcome this inherited one year merchandising challenge, we created a Q4 airtime plan to compensate for the lack of seasonal home and fashion products. It revolved around increasing the airtime in consumer electronics or CE and beauty to fill the vacant fashion and home airtime. In CE, this Q4 substitution plan did not work as well as we had planned because several key CE vendors insisted on payment terms we could not accommodate. This meant we could only offer a reduced product assortment for a larger amount of airtime which produced over rotation and lower revenue productivity. For perspective, CE's mix of airtime in Q4 this year was 13%, prior Q4 was 8%.  In addition to the CE revenue pressure, we also faced revenue pressure in beauty because our top two beauty brands had to cancel their December visits because of personal reasons. These cancellations were close to the actual scheduled air date, so it was too late for ShopHQ to suitably plan around these holes in our calendar. All in all, regarding Q4 revenue, I am proud of the important achievements in viewership and customer file our teams did to help position ShopHQ for success in 2020. And we are completing the proper Q1 merchandising planning for this holiday season.  In Q4 in terms of implementing our strategic plan that centers on building a growing portfolio of niche television networks, niche advertisers, and complementary media services, our performance was strong. We launched our Bulldog Shopping Network, the first television retailing network focused primarily on celebrating men's products and services. We also completed the acquisition of Float Left Interactive, a leading technology provider delivering over the top or what we call OTT content and TV everywhere solutions to media companies seeking to reach audiences through the OTT and Smart TV distribution models. We believe Float Left Interactive will help ShopHQ establish new distribution on the OTT platforms to help combat the cord cutting occurring in linear television today.  In addition, we completed the acquisition of J.W. Hulme, an iconic 114 year old American brand offering artisan crafted accessories and apparel via e-commerce, catalogs, and retail here in Minneapolis, Minnesota. One of iMedia’s growth strategies is to further monetize the promotional power of its national television networks by providing owned and operated advertisers like J.W. Hulme with outsized opportunities for promotional reach and revenue growth. Finally, just yesterday, we signed definitive agreements for a $4 million equity financing transaction led by Eyal Lalo, Invicta CEO and Founder and iMedia's Vice Chairman. I cannot say enough about how Eyal Lalo has helped our company from being the driving creative force behind Invicta, to helping our merchants find new vendors to spur growth for both ShopHQ and Bulldog, to helping finance iMedia's growth. In these uncertain times with COVID-19 we felt it was important to strengthen our working capital resources.  Regarding the balance sheet, we closed the fourth quarter with cash of 10.3 million and an additional 5.6 million of unused availability on our revolving credit facility. Our credit facility provides up to a $90 million revolving line of credit as supported by our borrowing base and a term loan which matures in July of 2023. As of the end of our fourth quarter, we had 53.9 million outstanding on our line and 15.1 million on our term loan. Our inventory balance at the end of the fourth quarter was 78.9 million compared to 65.3 million at the end of the fourth quarter 2018.  Regarding capital expenditures during the quarter we spent approximately 1.8 million on capital projects, primarily reflecting investments and upgrades to our website and infrastructure. From a tax perspective, we have approximately $380 million in federal NOLs that are available to us to offset future taxable income. In terms of our outlook because of COVID-19 we are not providing guidance at this time. We do believe that television retailing will be less impacted than other businesses because we serve our customers without them ever leaving their homes.  In closing, I would like to say that these are important times here at iMedia as we continue to create measurable growth momentum while at the same time navigating through the uncertain headwinds of COVID-19. Thank you for your time this morning. I will turn the call back over to the operator for Q&A. 
Operator: [Operator Instructions]. Our first question comes from the line of Thomas Forte with D.A. Davidson. Please proceed with your question. 
Thomas Forte: Great, good morning. Sorry, two questions. First, I'd like to understand your M&A strategy in general, I know that you made a couple transactions of late? And then second, Tim, I was hoping you could do kind of a compare and contrast on the disruption caused by the Corona Virus outbreak versus historical disruptions for consumer televised retail historically, for example, hurricanes were a challenge, you had a distracted consumer and then in some instances you had a consumer who couldn't engage with ShopHQ because her power was out. So can you talk about M&A and how Corona Virus outbreak is disruptive similar to past disruptions?
Tim Peterman: Hey, Tom, sure thing. Let's start with the first one which is I’ll call it the disruptions and then we'll get into the M&A strategy. So on the disruptions, I think about them in two categories. One would be the physical and one would be the mental, right. So in past challenges in particular for TV retailing, you've certainly seen physical disruptions in certain markets and you're right, the most recent one was around hurricanes in the South. And those disruptions are more difficult, but they are less -- they are more short term, because if you can't physically access the linear television, then a lot of folks are not engaged and then -- so it tends to be a bigger spike, but it drops down fairly quickly. With COVID what we're seeing is that certainly from if you wanted to measure up how we feel about our business model being uniquely situated if you will because we are on television, we're not disrupted at all, we have products that move very quickly depending on what the customer wants and we have a business model that delivers it to their home without them ever leaving.  So the components of our business model certainly are well-suited to navigate through what is -- what I would call an extended physical and an extended mental situation with COVID. So the difference with COVID is that physical is not a big challenge here, although people are at home, we have a business model that is situated for that. Where I think that you'll see impact with all TV retailing is that it's not a snow day. Everybody is not at home, just wondering what they're going to do. There's tension in the air and it's the uncertainty around when and how the stay at homes will be changed and what people are thinking about from a personal employment perspective. A lot of those things are on people's minds. And as that is a longer term and we don't think it is certainly spiked as a natural disaster. But it's an undercurrent and it's an undercurrent that, very similar to what we saw at the time when 9/11 when in New York and it moves, it recovers, but it is a longer term and it's not as mercurial at the beginning. Does that makes sense. Any follow up from that, am I answering that question?
Thomas Forte: Yeah. So it sounds like there's multiple challenges that the COVID-19 situation causes. Some ways they're similar to other big profile news events and then some of them are unique. Okay, so does it in any way though give you greater confidence, longer term that the transition to digital will accelerate and when the economy settles, you'll have kind of a better opportunity in that regard?
Tim Peterman: Well, short term and long term, I do think we as a television retailing have a very strong opportunity and I don't think we will be as an industry -- disrupted as much as other businesses, whether that's television advertising supported or television retailing or retailing. In terms of our transition, I do think there is an article out today, will this situation accelerate direct to consumer, not so much digital, but direct to consumer businesses, whether that be the resurgence of catalogs, television retailing is obviously natural. Digital is part of that as well and I do think that the longer term impact will be that direct to consumer will begin to, I think, take more share from retail as a long-term consequence of this situation.
Thomas Forte: Great and then the M&A?
Tim Peterman: On M&A so as we talked about before, I think on the last call we think about M&A in two lenses, one, we think about M&A and how we can inorganically help shore up our home and fashion businesses that we're not really planned for back in Q1 of 2019. So as we as we begin to turn around in May, we knew that with businesses that take nine months of planning and then getting in and buying it, getting it into your warehouse and getting it to the customer, that really wasn't done as much as it should have been done at the beginning of 2019. So when we looked at Q3 and Q4, the opportunities where you saw us most active were in those categories. So, for example, you saw us do the licensing arrangement with Shaquille O'Neal for the home. That was an important part of shoring up that category because that work had been done in late 2018 and 2019. You also saw us be very curious in fashion with J.W. Hulme fashion accessories, another long lead business that wasn't properly planned for, and those help us accelerate and recover faster from an inorganic or M&A perspective. So that's one lens, right, shoring up our core product categories.  The other is that we look at it from how we implement our growth plan. So as you look out over a year, we're not only going to fix ShopHQ, but from an investor perspective we're also evolving into what I describe as an interactive media company. So it will have a fixed ShopHQ, but it will also have multiple niche television networks, right. We just launched Bulldog. Then what, and we had ShopHQ. But as it relates to M&A, you saw us also acquire Float Left Interactive. When we think about our growth plan, which is very simple, it's to grow a portfolio of niche television networks, niche advertisers or brands that are on our air, as well as niche media services. Those media services are things like we're already doing with 3PL but they're also like what Float Left does, which is they as a service for brands and media companies they create ecosystems on the over-the-top platform. And as we think about our M&A and we think about media services, this -- the applications and services around OTT are very important, not just for our brands but for us ShopHQ as a business, as we know, although the older customers, our core customers are not cutting the cord at any meaningful pace today, the next generation of customers, those being millennials are not watching as much linear television and in some sense never really did. So we want to make sure that we are beginning to be more active in platforms that are more widely absorbed by the next generation of customers.
Thomas Forte: Good. Thanks for taking my questions. 
Tim Peterman: Yeah, those are the two lenses. Thanks Tom.
Operator: Thank you. Our next question comes from line of Alex Fuhrman with Craig-Hallum Capital Group. Please proceed with your question.
Alex Fuhrman: Great, thanks very much for taking my question and I certainly hope that everyone in the iMedia Brand family is doing well during these tough times. You know, a couple of things I wanted to ask about one is, is the viewership, obviously that has been challenging for a number of years now, it certainly sounds like that has started to get better in the fourth quarter. Can you talk about what's been driving that, I mean, it sounds like the static programming has made it a little bit more predictable for your shoppers and your viewers to find you, I mean, have those trends continued to show improvement since November when you started to see that that curve flatten, so to speak? And then just in more recent with everything going on with COVID and with the launch of Learning to Cook with Shaq curious if you've seen a good response to viewership since the Shaq programming had launched and if that has been bringing in new users and new viewers as you'd hoped and if you're seeing some of those new viewers, stick around to watch some of the other programming on ShopHQ?
Tim Peterman: Well Alex hello, thanks for that question, I believe there were four questions in there. But it really is around how has viewership -- how are we making progress on viewership and what does that mean for 2020 and what does it mean for our revenue model? So let's take a step back and say that, yes, viewership, if you look at over the last three, four, five, even go back seven, eight years with ShopHQ, I'd say or as an industry TV retailing, probably four or five years ago began to really populate its programming counter with more static shows, very similar to what entertainment networks have been doing since the very beginning. You build your viewership for the week, one hour at a time, one day at a time, and you have to find your way based on competition to begin to take market share. The great thing about our business ShopHQ and TV retailing called a $14 billion oligopoly, there's not a lot of competition out there because it has such big guiding factors around these MSO. We pay quite a bit of money annually and so we had this opportunity to take share when we can do a couple of things really better than we have in the past.  The first thing is to be able to be consistent for the customer so they know when their favorite host, when their favorite show and brand is on. And it's a fascinatingly simple thing to say but it is amazing that we have never really done that at ShopHQ. So the first thing that we did in May when we came -- when I came back, is to say, okay, let's begin to test it. And as we tested more and more static shows, we quickly realized that, yeah, this actually does work just like we thought it would. And it does work just like it works in really every other entertainment and TV retailing forum. So in Q4, we began to launch more and more of these shows and year-over-year we saw the viewership grow.  So in Q1 of this year, we have really started to ramp it up and it's again showing success. And so the programming calendar being fixed or static is one area, having brands that are relevant is the second, and we certainly had great launches with new curious brands or customers that were curious about our brands. But it was also the tonnage is done by our core brands, the ones that are with us every day and making those shows more interesting, whether its jewelry, beauty, health, watches, those core brands we have really worked on the recipe of on air execution. And I think that recipe improvement starting in say October through December really engaged the customer better, because if back -- I used to run a network called USA Network and everybody would talk about our original programming and how it was amazing and how that drove all the ratings. But what folks really didn't grasp was that Walker Texas Ranger running four times a day was really the tonnage of the ratings. And so it's your bread and butter that makes a difference from a rating perspective. And so it's our core brands that are really performing, that are making the difference of why the viewership is growing.
Alex Fuhrman: Okay, that's definitely helpful. Thank you there for that Tim. And then I wanted to ask also about the financing arrangement that was announced this morning and I think you've mentioned in the prepared remarks and in the press release some issues with vendor financing that impacted the fourth quarter, I mean, does this new financing help to address and alleviate some of that pressure, if you could just walk us through a little bit of the transaction there and the flexibility that that will give you?
Tim Peterman: Sure, let's talk about Q4 and then we'll talk about the financing. So the somewhat unrelated but in the same family which is our top priority in 2020 is growing our free cash flow and improving our working capital, and that's done through a variety of different things. Certainly this private equity or this private investment from Eyal and we'll talk about that in a second was very helpful. Better inventory management also very helpful. All of the elements of working capital, including profitability, are what make a company like ours successful. But let's go back to Q4, the only family of business that we operate in that doesn't -- that has very big national brands that aren't -- that we are not critical for their development is really consumer electronics. Our value proposition to customers with consumer electronics and why we do it every holiday season is because of our value pay. It is a distinct competitive advantage in the marketplace and our consumers come to our air and they like the way we can explain the product, they like the way we can educate them, and they really like our value pay as a way for them to engage and buy from us. And so that's a very good thing from a consumer perspective.  From a vendor perspective it's a little different. From the vendor perspective these very big companies are now today asking for payment terms where you're paying cash in advance, you're paying it upon delivery. And our business model doesn't really work that way. Our business model works on what are standard terms in the industry. And so as we moved into Q3 and given the request from these larger CE vendors for those payment terms, we had to make the decision that we would not be able to provide the assortments that we intended to provide based on us not being able to perform at that payment term. So we had to pull back on the strength of our assortment and go with the items that were more normal for our industry. And so that was -- that created pressure for us in Q4 because we already had to depend on the consumer electronics industry because as we talked about on the earlier question, we knew going into Q4 we were short on the home and fashion seasonally appropriate products. And we were able to very easily navigate around that in Q2 and Q3 because consumer electronics is not a very big category except in Q4 and so that's why it was a bit more dangerous with the plan that we had to exercise but it was the plan we had in our hands and we navigated through it the best we could. But that's why you saw the unusual dip in Q4 and you saw us navigate it around the beginning challenge we had when we inherited it and why we perform much better in Q2 and Q3, because it just wasn't something that was seasonally a big deal.  So when you get to the Q4 solution around CE and around this payment terms, then you come to today and the announcement we made with the $4 million equity infusion. First and foremost Eyal Lalo and Invicta continue to as I said in my prepared remarks, to build value for us as a company. So not only driving a great vendor of ours which is Invicta, but also, as we know, Eyal has been involved as Vice Chairman and helping secure other brands in other categories, in fashion and beauty and others. So with this equity investment, it's really about where we are today and if you look across the spectrum and the uncertainty of COVID-19, I think companies are really taking a very sober look at their balance sheet to make sure that no matter how well prepared you are for a surprise, you want to make sure you have the balance sheet to move through something like that. And so we thought it was the right time to bring in this equity to make sure that we, from a working capital perspective have the gunpowder to move through this at this time of uncertainty.
Alex Fuhrman: Well, that that makes a lot of sense. Thank you for your answers. And again, we wish all the best to you and the whole iMedia Brand family this year.
Tim Peterman: Thanks, Alex.
Operator: [Operator Instructions]. Our next question comes from line of Mark Argento with Lake Street Capital Markets. Please proceed with your question.
Mark Argento: Good morning, Tim. Just wanted to talk a little bit about kind of cost structure. I know you've continue to streamline the cost structure a little bit, is there more opportunity to take some additional costs out, especially given the environment?
Tim Peterman: Hey Mark, how are you? Absolutely, when you think about cost structure and you think about creative necessity, right? So I like to think about things as we move through this turnaround. I call it internally that a white sheet of paper. So when you ask are there more costs or more efficiencies to be done there aren't any cost efficiencies to be done if we're continuing to do business as normal and continuing to repeat what we've done historically. But just like with the programming calendar and moving that to a static calendar, the idea and the strategy from a consumer product proposition was why we did that because it is driving viewership. However, also from a cost perspective it also requires tremendously less in cost to the cost associated with chasing every minute of every day and surprising the customer, it was like a double pickup. Not only are you improving your relevancy to the customer, but from a cost perspective, an infrastructure perspective you don't need as many -- you don't need as much cost in order to do that really well.  So we take that white sheet of paper with everything we're doing and we are finding that out of creative necessity when you do that process and you have absolutely no connections to what the muscle memory was in the organization. But more about how does the customer experience improve. We are finding and continue to find ways that improve the customer experience and reduce our costs. The driver though always has to be how do you improve the experience for the customer, how do you improve the revenue opportunity, and with a white sheet of paper that has, at least from our management teams perspective, always yielded lower costs.
Mark Argento: Got it, makes sense. In terms of the kind of seasonality of the business and kind of its working capital needs, how do you, will you need to do some additional capital to get through peak holiday next year, I mean, what -- how are you looking at things right now in terms of the balance sheet long term?
Tim Peterman: Great question, it's the one that we think about as we plan the business. So the first headline is that this business is a category by category business. And the way this business has to be fixed is by growing the customer file and that so you have to grow the customer file the only way to do that is to engage your base and to bring in new. And so as we think about working capital with that being the lens that we're looking at it through, we look at each of the businesses and we decide how best to engage the customer, keep the ones we have, how best to grow revenue. Because working capital efficiency is not just about profitability it's about inventory management, it's about how many times you turn that inventory, it's about vendors, what are the elements of how you guys are working together. And so as we think about 2020, we have stress test the business from a sourcing perspective, from a revenue perspective, and a cost perspective and we feel good about our balance sheet and where it is today. And with the equity we just raised to move through that and execute our plan in 2020. And that is, as we talked about before, with a few surprises that we just don't know, it's the great quote from Mike Tyson everybody has a plan until they get punched in the face and that's what we are. That's how we view it.  So our balance sheet is equipped for those surprises but so when you get to the core of your answer, which is a category by category, we look at each one of them and say, okay, for example as we talked about our ShopHQ business being a niche business, there is a category that we have never really done well in, that we as a business have tried to do well in for probably five years. We call it Home Soft. It's bed linens, it's a lot of different things that previous administrations have tried to do well at because that's what QVC and HSN do so well at. And so, last fall call it the beginning of Q4, we looked at that category and we looked at our thesis and said, listen, we are a niche television network. We're not trying to be all things to all people. So from a working capital perspective, we actually eliminated the Home Soft category. We're not trying to buy inventory in there that continues to grow, we're not trying to then buy inventory that burns off at cost below what we paid for it, because that's not what we do well.  So as a category by category, we look at the working capital requirements, we look at how well we do it, we look at the vendors that we have, and we look at how our customers react to it. And so 2020 is about being very focused on building businesses, attracting customers, but doing it with working capital within our means. And we make decisions and tradeoffs every day but it's always about the customer. So Home Soft didn't have the customer base, didn't have the inventory profile that we liked, didn't -- required a lot of working capital and so we moved that out. So that's what you're going to see from us as we move through and any surprises that we might incur along the way, we'll make those kinds of decisions.
Mark Argento: Got it, great. Thanks Tim, appreciate the color. Good luck. 
Tim Peterman: Yes. Thank you, Mark.
Operator: Thank you. Our next question is follows in the line of Thomas Forte with D.A. Davidson. Please proceed with your question.
Thomas Forte: Great. So, Tim you sort of talked about -- one of my follow up questions. But first off, I want to know internally how you're measuring the performance of Bulldog? And then second, I wanted to ask more, I guess, at the industry level given the current situation with a distracted consumer and economic challenges at the industry level, how do you think about the opportunity for the health and wellness category or the home category and for the apparel category?
Tim Peterman: Thanks, Tom. So two questions, one on the Bulldog and one on just product assortment as it relates to I imagine you're saying the current situation with COVID more broadly, correct?
Thomas Forte: Yeah, because I think that there's elements of health and wellness that are well-suited to ShopHQ being able to explain to the consumer the benefits of a product, a consumer that's very interested in health and wellness given some of the challenges. On the beauty front, I see both opportunity and challenges to the extent that more individuals are working remotely, meaning working at home therefore, they may or may not be leaning into beauty, yeah, things of that nature?
Tim Peterman: Yes. So, let's talk about that. So first on Bulldog, Bulldog has obviously a very important component of our agenda, which is how do we double down on the strength of what we do well at ShopHQ? You've heard us talk about that unlike any HSN or QVC 25% of our customers are male. That is why we moved into launching Bulldog Shopping Network, because that strength we have with the vendors that we have, like Invicta, we can do that better than anybody else from a existing asset perspective. So we measure success on Bulldog on how we feel the recipe and the connection we're making with the products that we're selling and the programming. We did delay given the current situation with COVID, we have pushed back the growth of the distribution into the more the Q3-Q4 phase because we did not feel it is the appropriate time to ramp up dramatically on the distribution because of the current situation.  So what we're doing today is we're making sure that what I call before the On-Air execution of the recipe is done in a way that is much -- is for the male customer and that we're finding the right products for the male customer, whether that's coins and collectibles or whether that's tools and gear around what is the On-Air execution that best suits that. And so we're finding all sorts of successes and things we're not doing as well as we need to be on Bulldog and so we're using this extra time that we have now with before we go more broadly with it to make sure we get that recipe right. Bulldog is a long term strategy for us. It doesn't involve just linear television, it involves search engine marketing, it involves distribution with in other services like regional sports networks. But the concept of the male customer and how best to give him a shopping list that he can knock down or that -- a female can knock down on behalf of her male is what we're focused on there. And the definition of success from a monetary perspective is not yet in evidence because of the delay in distribution. So that's the answer on Bulldog. Did that squarely address your question?
Thomas Forte: Yes. Thank you.
Tim Peterman: Okay, so then on products. Yes, first, we are uniquely even more so us than our competitors uniquely positioned to be able to move very quickly to change what is on our shelves. So we have an amazing talent. Terry Dubrow with the brand Consult and we have an amazing vendor with Consul that George Simone who has been in the business for quite some time. So we have navigated to make sure that we have the health products and the beauty products that are most relevant today for our customers. And it is when you have someone who has an On-Air trust, who carries a world renowned doctor, he also -- is well known from the audiences from his other shows that he has on and so he's very trusted on our platform and on television more broadly. So he's bringing in an awful lot of new customers as he educates folks on what is the best type of injestables in this day and age to keep yourself healthy. What are the best kinds of -- we have a certain type of cleaning solution that he uses in surgery that we've been providing to customers that continues to kill for hours, for example, in the current environment. So that's one element that from a health, whether it's injestables or from a cleaning solution perspective, we have great brands and Terry being our best around how we address the consumer need particularly in this environment. But on the one side you have that on the other you have really what is working today and what customers really want today is the notion I described before which is not so much digital but it's direct to consumer. So food for example, we re-launched our three hour weekly sizzle that is on Sundays that is designed to be every week about the kitchen solutions for the kitchen. That's a what I call the one two punch around what we're doing for our customer for food which is very -- has grown dramatically over the last 60 days. So Sizzle of course is a static show but the big hit that we've had and the big thing that customers have really responded to and I don't mean that like two on the nose but the big thing would be Shaquille. Shaquille's show that we launched in March really has because of customer demand has actually splintered into two different shows, right. So we have a Wednesday night show that is cooking, learning to cook with Shaquille and so the customer participates on products that he has, recipes that he does but it's really Shaquille is learning to cook with these different items and the customer is taking that journey with him and that is a something that has worked really well from a ratings perspective and it's coming along from a revenue productivity perspective.  But as a result of everybody staying at home these last call it 60 days and what has worked really well and is learning to cook with Shaq is all the food and the different assortment of food and so on Friday night now we have a -- we just launched a show with Shaquille and it's really eating with Shaquille and this broad assortment of different types of food and just really sitting down and talking with Shaquille on why he likes this kind of food and how he discovered this particular brand and it's that journey of discovering different kinds of foods to eat and just the social aspect of that. We have Shaquille with his family and you've got people running in and out, kids running in and out, it's a much more relatable experience and they are two different customers and so what we're finding is that there is a dedicated need for food, there's a dedicated need for health and beauty, and in terms of organizing your home that has also started to peak and we've actually addressed that with static shows as well.  So to your question about what are the categories that are becoming more popular those would be the ones that I would describe as becoming more popular today and we have a really strong what I would call experts with Shaquille and food, we also have another expert with -- we have what we call Battle Creek, we have a chef that were launched well and he's done really well and resonated with our audience. But then on the health side we're just as I talked about before we're relying on the strength of our core brands, our trusted personalities, men well with ISOMERS also very trusted. We have started to show, a weekly show with [indiscernible] she's actually JUST educating the customer on the different types of beauty at home, Jennifer Stallone is doing the same thing very trusted brand where they're talking about how do you take care of yourself from a beauty perspective at home. And Jennifer is right there in her home right and she's talking about what she would do and how she would do it and it's really this curator this trusted that is -- that relationship is becoming even more important in my view over the last 60 days and that's how we're responding to it is having our trusted folks in their home talking to the customer which is where they are today exclusively at their home and so that -- hopefully that addresses your question.
Thomas Forte: Yes, thank you Tim.
Operator: Thank you. Ladies and gentlemen that concludes our question-and-answer session. I'll turn the floor back to Mr. Peterman for any final comments.
Tim Peterman: Liz I just want to thank everybody again for their time this morning, their interest in our company. We are excited as I said about our momentum and the little things we're doing every day. We are obviously aware of the cautionary winds as it relates to COVID-19 and situations there. And so as I said before our top priority in 2020 is improving our free cash flow and with improving our working capital, the way we are going to do that is by growing our customer file which then improves the prospects of all the other elements that we have talked about. So I thank you and we will talk soon. 
Operator: Thank you, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.